Operator: Ladies and gentlemen, welcome to the Hapag-Lloyd Analyst and Investors H1 2024 Results Conference Call. Hapag-Lloyd is represented by Rolf Habben Jansen, CEO; and Mark Frese, CFO. I am Maria the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] At this time, it’s my pleasure to turn over to Rolf Habben Jansen, please go ahead.
Rolf Habben Jansen: Thank you very much and good morning everyone or good afternoon maybe to some of your dialing information. Thank you very much for taking the time to listen to us here. And as always, we’ll give you a short introduction with a couple of key messages and some more detail on the numbers before we are open for Q&A. In terms of what should be the key takeaways, I believe from the first half, I would say, first half, first we had the disruptions caused by the Red Sea and then in the second quarter I think we saw unexpected strong demand especially in May and June. In order to meet those demands, we’ve taken various additional measures that we will elaborate on. And we’ve had higher operating costs driven of course by bunkers and also by operating more ships and having to deploy more boxes. Nevertheless, we posted a good financial result for the first half with an EBITDA of around $0.9 billion, of course driven by indeed higher volumes but also increased freight rates compared to the last couple of quarters. We update the outlook already on the 9th of July. I think we reiterated outlook here even if we have to point out that of course in today’s market there is quite a lot of uncertainty around that. Maybe if we briefly look at markets, I think the picture on the left-hand side gives you a good overview of what has been happening. I think, when we look at global container volumes, they have been stronger than many expected, 7% up in the first half. I think that's quite a lot. May and June recording the highest numbers ever. In that context, we can be really happy that the industry has invested in additional ships, because that has allowed us to transport all those additional boxes and to cope with that additional demand, even if we had to go around the Red Sea. When you look at the freight rates, here you see the SEFI Index, which, of course, had a spike in January, yes, when we had the Red Sea situation, then it looked like it was going to normalize towards the end of Q1 beginning of Q2. But then we've seen a spike in spots rates in May and June and in recent weeks, we have seen things normalizing again a bit. Of course, we can speculate about why did we see that spike in demand? I think the most common causes mentioned are an element of restocking and potentially also were somewhat earlier peak season, but in fairness, none of us really knows that. What have we taken as measures to cope with that higher demand. We've been speeding up vessels, especially those that had to go around the Cape. We have adjusted our network and tried to move capacity to those trades where demand was the highest. We have moved reach on some additional ships to cope with the additional need for steel. We've also deployed a number of external orders to fill some holes that they were in the network. And we've ordered quite a large number of additional boxes as the turnaround times of the containers are currently unfortunately quite comparable to the pandemic levels, which means that we can use a box less than four times a year. Then, in line with our strategy, we've continued to build our terminal business and we have also continued to invest in fleet and new service offerings. We took onboard six new buildings, which means that our capacity has steadily grown over the last years to now 2.2 million TEUs. We launched a couple of new web products with more still in the pipeline. We've adopted the d Hanseatic Global Terminals name as a new brand for our growing terminal business based in Rotterdam. We've also been adding people to that team amongst them among above - amongst them a Divisional CFO. We made good progress in the construction of Damietta container terminal and managed to successfully renew the lease contract in Port Everglades for another 10 years. While talking about Gemini, I would say, we're very much on track with the preparations for Gemini, will probably on schedule or maybe even slightly ahead of schedule. I would say, the main milestones that are ahead of us now are start of sales in September, start of booking in December. And then we will gradually move into the Gemini network as from beginning of next year. Of course, the official starting date is 1st of February, but in reality, that transition from THE Alliance to Gemini will probably take about three months. It will start a bit earlier and end hopefully towards the end of the first quarter. And with that, I think I'll hand it over to Mark who's going to talk a bit about the numbers.
Mark Frese : Yes, thanks Rolf, and welcome also from my side to all of you. First half of ’24, I think we were able to deliver good operational performance, which was certainly about our initial expectations at the beginning of the year and in addition we also maintained a very solid balance sheet. Transport volumes improved nicely on the back of a global recovery of demand and despite the necessary rerouting of vessels around Cape of Good Hope. So with that, Group EBITDA came in at US$2 billion and free cash flow at a US$0.5 billion. While this is below the figures of last year, I would like to remind us that last year's performance in the first half was still outstanding due to the exceptional market environment at the end of the pandemic. Looking at our financial figures in a little bit more detail, we can see that Group profit is at a 75% to US$791 million in the first half of ‘24 due to lower operating profits and financial results. Nevertheless, with return on invested capital of 9% in the first half, earnings were still on a good level. Even more important is that following the turnaround in Q1, the positive earnings trends accelerated in Q2 ’24. Group revenue and earnings improved quarter-over-quarter due to developed profitability levels mainly in the liner shipping segment. With that, in Q2, EBITDA came in 9% higher at US$1,0828 million and EBIT was up 23% at US$485 million. This resulted in a healthy EBITDA margin of around 21% and an EBIT margin of close to 10%. Looking now at Sacramento, Liner Shipping recorded a decline in earnings year-over-year over year due to a lower average freight rate and higher transport costs associated with the rerouting as mentioned of our vessels around Cape of Good Hope. H1 ‘24 EBITDA and EBIT I the Liner Shipping segment amounted to U$1,898 million and US$846 million respectively. At the same time, the TNI Infrastructure segment revenue increased significantly in the first half of ‘24 to US$270 million, mainly due to the acquisition of the SAAM Terminals in August, the year before in ’23. For this reason, the figures for the first half of ’24 are only comparable with the prior year numbers figures to a limited extent. Segment EBITDA increased to US$71 million, which resulted in a good margin of close to 33%. Segment, EBITDA amounted to US$33 million, and decide to regular depreciation or fixed assets this year also includes the amortization on the purchase price of SAAM Terminals realized asset in August ’23. Looking now at the main value drivers of the Liner Shipping segment. The average freight rate in the first half of ‘24 declined 21% to US$1,391 per TEU year-over-year. However, after bottoming out in Q4, ‘23, the average freight rate increased further in Q2 ’24. At the same time, transport volumes in the first half were up 5% year-over-year to 6.1 million TEUs, which was mainly driven by the export from Asia to North America and Europe, on the Transpacific Trade, we recorded the strongest volume growth with more than 24% year-over-year as demand in the United States picked up and the destocking cycle more or less ended. On the other hand, the Middle East volumes were clearly affected by the difficult security situation around Red Sea, resulting in 21% lower volumes in the first half. As a reminder, you know that we recognize transport volumes only in the end of the voyage, and the surge [Indiscernible] of demand, we have witnesses in May and June will drive the volumes development only in the third quarter because of the time lag. Our unit costs remains elevated despite successful cost measures as we continue to reroute as already said, all trades from Asia to Europe. This leads, in particular to higher bunker consumption, which was up more than 16% in the first half and in addition, bunker costs increased following the first-time inclusion of the shipping sector in the EU Emission Trading System. Handling and haulage cost increased due to a higher transshipment activity and storage costs, vessel and voyage cost declined mainly due to the lower Suez Canal costs. However, this was partially offset by the higher expenses for certain short-term charter ships and container slot charter costs on third-party vessels. In total, unit cost in Q2 amounted to US$1,281 per TEU, an increase in comparison to the previous quarters mainly related to the accounting treatment of pending voyages adjusted for this effect, unit costs were almost unchanged quarter-over-quarter. The operating cash flow stood at US$1,373 million in the first half, the longer voyage times and higher revenue resulted in a negative networking capital, development, investments in our vessels and container fleet, as well as our terminal portfolio led to a cash outflow US$1,120 million. In the first half of ‘24, we received in total six new built vessels with a nominal capacity of around 110,000 TEU. This includes one long-term charter. And in addition, as already mentioned by Rolf, we have ordered new container boxes with a total capacity of 260,000 TEUs to account for the increased turnaround times. Interest income and dividends from our equity participation resulted in a cash inflow of US$248 million. And while the free cash flow was again clearly positive, the cash position declined to US$4.5 billion, mainly due to the distribution of dividends in May to our shareholders of US$1.8 billion. The cash balance does not include our strategic liquidity position of US$2.1 billion, which is recognized under financial assets. And as usual, I would like to conclude with a brief look at our key balance sheet figures, our net liquidity position strength following the distribution of dividends and higher charter liabilities, nevertheless, with an equity position of US$20 billion and a liquidity reserve of US$7 billion. The balance sheet ratios are still very solid. And with this I hand it back to Rolf for the market updates and the outlook.
Rolf Habben Jansen: Thank you, Mark. When looking at market updates, not that much new. I would say that that when we look at demand growth, maybe start with that. I think we would not be surprised if full year market growth turns out to be a little bit stronger than what we see right now. Actuals first half being 7.1% and that means that, looking at 4% for the full year, I think, there are also scenarios thinkable where that's going to be a little bit higher. The global order book has started to come down on the back of deliveries that we of course have seen in the last 12 months. I think, 18% as such is actually another very worrying number also because the order book now stretches in many cases up to 27, 28. There is quite a lot of activity going on in the market. I do expect that that number to notch up again a bit. But as we now see that the delivery windows are very long, that does ad in my view, does not really have to be a big problem. When we look at schedules, vessel deliveries, we saw of course, a lot of ships being delivered in ‘23 and ‘24, which was really good to deal with the - to be able to do with the Red Sea crisis. We see deliveries coming down as from ‘25. And, as I said, the order book has a fairly long tail. Inactive fleet still very, very low, almost at an unhealthy level. In addition to that I think that what can be mentioned is that, that scrapping today is still at historically low levels. A lot of that has been postponed over the last three or four years. So we will see a significant downturn in scrapping in the second half of this decade. Looking at our outlook. We commented on that in July. Not much more to be added to that right now. We expect transport volume to increase moderately. The freight rates to go down slightly and same for bunker consumption price and the EBITDA we now expect to be higher than what we anticipated earlier on in the year. But as mentioned in the beginning, good early momentum at the moment, but definitely still an outlook that’s subject to a high degree of uncertainty. What are our priorities for remainder of the year? Continue to focus on network reliability. It is important to offer those stable to create those stable supply chains for our customers. Of course, schedule liability will also be a key element in Gemini as we move into next year. And in that context, I think we're pretty happy that we see that on the rankings that come out, we are starting to creep already upwards, even if it's at an unsatisfactory level. We'll continue to implement our strategy 2030 focus that at growing our business and making sure we become the undisputed number one for quality. And we bring our emissions down in line with the Paris Agreement. We'll continue to invest in the transformation of our fleet to propel that energy transitions, but also to maintain competitiveness and to ensure that our unit cost is good. We're working on a transition from the Alliance to Gemini. And of course, as always, we'll do our utmost to take care of people and make sure that we make the most out of the team that we have. And with that, I think we'll move into Q&A.
Operator: [Operator Instructions] Our first question comes from, Sathish Sivakumar from Citi. Please go ahead.
Sathish Sivakumar : Thanks, Mark and thanks, Rolf. I got three questions here. Maybe I'll just start off with the demand trends. If I look at the Far East volumes in quarter two, it’s probably down 1% and obviously nothing significant, but just wanted to because that's the only division that has seen volume declines. Is it mainly because that shipments are taking longer than that sort of actually causing this volume to be down? Or as we start came into like June, you started to see some unwind there? And within the demand if I could actually another follow up there, is the how does the trends looks, say Transatlantic cannot solved thus as far east in terms of your visibility right now. So that's like my first question on demand. And then, second is back in Q1, you flagged the role of surcharges to offset some of the contracts that you sign broadly flattish year-on-year or maybe at low-single-digit. Do you still have those surcharges in place given that the spot rates is actually starting to see – it looks like it has peaked in the near term. And so that's my second question. And then the third one is around the order book. Gemini, obviously, your partner Maersk has announced a linear set of order book and that exactly you brought in terms of your own maintaining the market share versus your contribution to THE Alliance, as well? Thank you.
Rolf Habben Jansen : Okay, well, maybe let me try and take them one-by-one. I mean, in all honest, I didn't fully understand the question on Far East the month being down because when we look at CTS, it's basically up 7%. Our own volumes are up 6% if I'm not mistaken for the first half. So, I think the trend of strong exports out of the..
Sathish Sivakumar : Rolf, obviously, I am looking at the Slide number 10, where you showed 573,000 TEU goes to 565 in quarter two. So obviously in – like in quarter two it's slight decline. I'm not seeing like it's this is more I am just want to understand it from that point here.
Rolf Habben Jansen : Okay, okay. Sorry, now I get it. The question is the quarter –on-quarter. Yeah, I mean, in fact, mainly driven by longer shipment duration. If we look at it on a - if we compare it to previous year, yeah, then we actually see that that volumes have been up. If we look at shipment duration, because we do end the voyage accounting, then in the first quarter, we still had quite a lot of sailings that arrived when Suez was still open, because they had passed through Suez before the 15th of December. And because of that, you see that firming up a little bit. If you look at it on the start of shipment basis, we actually see a little bit of growth. So, I think out of element there is actually line with market. If you I believe CTS is plus 7% that we have plus 6% or something like that or plus five and plus six, but that's roughly in line. When looking at the other trades, I think we saw the Transatlantic is also up this year. But when looking at rates, those are of course, disappointing there as we see that all the upward pressure on rates is very much concentrated on the export rates out of Asia. In terms of your second question, what’s the surcharges on contract? In many cases, those, yes, in principle, those are still in place. Keep in mind that the contract rates in - the standard contract rates in many cases are very far below where spot market is today. Then on the order book, when I look at our own situation, I mean, we had orders, a fair number of ships in 2021 that are now gradually coming into our fleet. We also have a number of long-term charters that will still come to our fleet. And as a consequence, you will have seen that are standing capacity has grown steadily to now about 2.2 million. That will grow a little bit further over the upcoming 12 months on the back of commitments that we have made. And that will allow us also to contribute our fair share to Gemini.
Sathish Sivakumar : So, maybe a couple of follow-ups. In terms of like, on visibility, right? What you get to see? Obviously, we are already like our share this quarter as well. How does Transatlantic has and not so compare versus quarter two in terms of demand?
Rolf Habben Jansen : I mean we see good utilization on Transatlantic also in the third quarter. So I think demand is not necessarily the issue on the Transatlantic. I think the challenge we face on the Transatlantic is that the rates are just too low.
Sathish Sivakumar : Thank you. So that's - so and what does that mean on the north south?
Rolf Habben Jansen : Sorry, I didn't understand that.
Sathish Sivakumar : North, south trade lines, like say, yeah we got a good color on Transatlantic. It’s just too holding up. What about north south trade lines?
Rolf Habben Jansen : I mean, north south trade lines are generally, fairly stable. Yeah, but also there we do not see the uptick in rate that we have seen in the export rates out of Asia.
Sathish Sivakumar : I think got it. And maybe, sorry, one more follow-up on the other book. Obviously, Maersk flagged that NextLogic probably get is 2029. And like what's your like thinking towards say, looking at your fleet modernization into get a part of this ticket? Would you still like look at placing some orders? Or obviously, are you engaged in any discussion with shipyards right now, not for me yet done, just basically, into 2030-ish?
Rolf Habben Jansen : I mean, we are always talking to the yards to see what are the options that are out there. I would say that is not unlikely that we will also order some more ships somewhere in the next 12 months. But that will clearly be to for deliveries towards the end of this decade.
Sathish Sivakumar : Okay. Okay. Thank you. That's great helpful.
Operator: The next question comes from Omar Nokta from Jefferies. Please go ahead.
Omar Nokta : Thank you. Hi, Rolf and Mark. Thanks for the update. Just a couple questions from my side and maybe just picking with the order book discussion. Obviously, there's been a big jump in newbuilding, ordering here the past maybe two months or so. And it seems that started around I guess, May, June just around the spike in spot rates. And this comes after fairly quiet 2023 and maybe back half of ‘22, just wanted to get a sense from you. Obviously, you're not aggressive in the ordering. But what do you think has been driving the renewed interest in ordering as this capacity in a meaningful way? Is it really just coming down to unexpected profitability this year? Or is it something else? And then, second question, just wanted to ask, given the explosion at last week at the Port of Ningbo, just wanted to get a sense from you, given your operations there, what's the status of the port and terminals that you operate on? And what kind of effect do you think this is going to have on the market? Thank you.
Rolf Habben Jansen : Last point, first. I mean, that's, of course, very unfortunate incident. We do not expect that to have a major impact on the operations in the Port of Ningbo, nor on our service. Of course, the ship from Yang Ming that that was affected. That will be out of service for a while. So that particular voyage will probably not be completed, yeah, the way it was planned. Apart from that we do not expect to see a major impact. In terms of the order book, I mean, these things tend to come in waves and now we have again a wave of orders. I think that's not unexpected. Also, keeping in mind that many of the slots that are being sold today are really for ’27, ‘28, ’29 and looking at the aging global feet and the environmental regulations that are coming towards us, which will also require us to - for example, say a little bit slower in the future. I'm not surprised, yeah, that we see some further orders now and that's also why I said in response to the previous question that that also we here are looking at whether we have to order at some point in time for delivery towards the end of the decade.
Omar Nokta : Okay. Thank you. And maybe just one follow-up. Mark, I noticed that, with discussing the lease liabilities that number has gone up towards US$2.8 billion or so as of 2Q it’s a bit higher in what we've seen recently and it's getting close to where it was at the highs in ‘22. Is that a function of just taking delivery of the new buildings or is it just a function of having to have added on more capacity at a higher cost recently to maintain capacity?
Mark Frese : Basically, it's more to say. So due to the situation that what we all have all seen that we had to and Rolf mentioned that had to bring in more capacity. We also did use charters prices were also up as we have seen and that is a result of that.
Operator: [Operator Instructions] The next question comes from Andy Chu, Deutsche Bank. Please go ahead.
Andy Chu : Morning, Rolf. Just one question for me please. On the order book of – I think you are looking sort of 18%. How much of that do you think is growth? And how much about you think is replacement? And then, just looking into next year the 1.9 million TEUs that you’re flagging on Slide 14, again, how much of that do you think is growth versus replacement? Thank you.
Rolf Habben Jansen : That’s a good question, Andy. I mean, I could I probably have to pass that on to Maersk and MSC and CMA. Yeah, because they have especially MSC and CMA have the biggest order books. So I don't know. I think that's difficult to predict. I mean, on the normal circumstances, I think we've said before that in a normal market, an order book would cover about three years. If you take three years of growth, if you assume 2.5%, then you need probably 7.5% for that. In a normal year, you would see 4% scrapping. So three years, three times four is 12. So a normal order book between 15% and 20% of the global feed is really not unusual. Yeah, if you have a normal average age of the fleet and that's what you have today. So I think today, the size of the order book as such is not so crazy also because in reality, the order book, probably today stretches out to ‘29 also, rather than to ‘26. So, and keep in mind that that scrapping was exceptionally low over the last three or four years. So there will be a catch-up effect on that. So how much of that is going to be replacement? And how much of that is going to be growth, I think that remains to be seen. It depends also on the markets. I mean, everyone probably plans to phase out more ships in the last three or four years than they actually did, because today, we need everything that can sail to carry the cargo that is being offered to us. And so, it's a very difficult question to answer. I would say though that, a significant chunk of the order book, for sure is replacement. I mean, in the second half of this decade, at some point scrapping has to go towards 4% or so a year. Yeah, and if you keep that in mind, then you have about - then you have a significant double-digit percentage of the fleet that will need to be scrapped between now and the end of the decade. And that would also indicate that a significant chunk of the order book should be to replace those ships.
Andy Chu : Okay. Thank you. And then, maybe just one sort of follow-up on Q3. Is there any sort of delving into this stage and help us in terms of how sort of peak Q3 might be in terms of either EBITDA and/or EBIT? Just sort of help us in terms of magnitude of the step up clearly it’s kind of the way you're booking in revenue. So you've probably got quite a lot of visibility as to what Q3 looks like. Thank you.
Rolf Habben Jansen : I think for now, I mean we have some visibility on Q3. If you look at the adjusted outlook that we have given in July, it's pretty clear that we expect a strong third quarter, yeah that should definitely be stronger than the second quarter, yeah. And then we have to see what happens in the in the remainder of the year.
Andy Chu : Thank you very much.
Operator: [Operator Instructions] The next question comes from Parash Jain, HSBC. Please go ahead.
Parash Jain: Yes, thank you Rolf and Mark. I have two questions. First, with respect to demand. As you mentioned that May and June were exceptionally strong months. And from talking to your clients, can you get a sense that was it purely driven by a strong consumption? Or there was an element of frontloading, restocking? And does it mean that come fourth quarter we must see a soft of mean reversal with respect to demand growth? And my second question is, is it too early to worry about the US East Coast port disruptions in the near future? Is your customers preparing already to move cargo to the West Coast? Thank you.
Rolf Habben Jansen : Yeah, I think, when you look at demand and when talking to customers, I think it is indeed a little bit of a mixture. I definitely think there's an element of destocking. We saw that that inventory, particularly in the US was a bit on the low side. I also believe there has been a little bit of frontloading. Consumption has also not been bad. So I think it's probably a bit of a combination of the three. But I certainly think frontloading and restocking has played a role. In terms of the East Coast, if you would have asked me in January, I would have said that I'm not so worried about that. Right now, when you look at the Red threat that is, that is out there, I think that unfortunately, the chances that there will be some disruption have definitely gone up. And I believe that that's also one of the reasons why you see that as customers may have frontloaded yeah, volume a little bit. Because in fairness, if they start worrying about it today, they are too late. Now, there's nothing you can do anymore. I mean, if you would - if you anticipated that, then you should have exiting first quarter and have been shipping in the second quarter. And maybe that is also partly why we have seen very strong demand, particularly also into the East Coast of the US since May.
Parash Jain: And where you spend is, is there any way we can is the probability of potential strike has gone up from what you consents?
Rolf Habben Jansen : I mean, I think that's a potential. I think the risk that there will be a strike if you compare that to three or six months ago, it’s definitely not going down. Yeah, I think it has really gone up, but that's just because of what I read in the in the public domain. And what you hear when we're talking to people. I think they're significantly more concerned about that today than I was probably in January or March.
Parash Jain: Fair enough. Thank you so much and have a wonderful day. Thank you.
Operator: Gentlemen, that was the last question. Back to you for the closing remarks.
Rolf Habben Jansen: Yeah, not much to add from our side. Thank you very much for taking the time. We really appreciate you joining us for these calls. Hopefully, we're able to shed some light on the first half numbers. And hope to see or speak to you again soon.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call. And thank you for participating in the conference. You may now disconnect your lines. Good bye.